Adam Kicinski: Good afternoon. My name is Adam Kicinski, and I'll be your host during today's conference dedicated to the CD Projekt Group's Financial Results for 2022. I'll run the presentation together with Piotr Nielubowicz, Michal Nowakowski, will join us for the Q&A session. Before discussing earnings, I'll sum up last year's main events. 2022 can be defined as the year in which we laid solid foundations for our future business. First, beginning parallel development of two AAA projects. As we continued working on Phantom Liberty, we started production of the next Witcher game. Parallel development should eventually let us increase the frequency of releases. Second, we entered into a strategic partnership with Epic Games. We decided to transition to the Unreal 5 Engine for our future titles. This should eventually support more stable and efficient development. At the same time, we continue to improve our key products. Cyberpunk 2077 and the Witcher 3 Wild Hunt. They both received a number of significant updates. Speaking of Cyberpunk, two important events took place in 2022. In February, we released Patch 1.5. This substantial update brought various improvements to the game. Once more, we updated the game to the fool Next-Gen version. This means Cyberpunk 2077 can make the most of the additional power delivered by Next-Gen version. This means Cyberpunk 2077 can make the most of the additional power delivered by Next-Gen.  Later that year, in September, we released Patch 1.6 that so-called EDGERUNNERS update, it brought another bunch of meaningful improvements to the game, many of which had been directly requested by the community. Also the update content tie-ins to the anime series Cyberpunk EDGERUNNERS, which was released on Netflix at the same time. Speaking of the direct impact of this events, let's move to Slide 4.  Analyzing the Steam reviews, there is a clear increase in positive ratings at the beginning of the year when Patch 1.5 was released. It's worth mentioning that this was a Next-Gen patch, so the quality increase was especially noted by console players. But as we can see, PC players also appreciated the improvements.  However, these results were disrupted by levy bombing, linked to the war in Ukraine. It is clearly visible in March, when we were hit with a massive number of negative off topic reviews. Our understanding is that it was a direct effect of pulling out our games from Russia and Belarus and our financial support for Ukraine. The impact of the war aside, starting from September, the impact of the transmedia synergy was particularly visible. The release of the EDGERUNNERS update, combined with the very positive global reception of the anime gave the game another boost. Sentiment around Cyberpunk is clearly good, laying a solid foundation before the release of the expansion, Phantom Liberty. Now let's move to the next slide, number 5. The highlight of the late 2022 was definitely the release of the Next-Gen update for The Witcher 3 Wild Hunt. In December, we invited players to return to the Witcher universe and then joy Geralt's adventures in the best possible quality. The update featured multiple visual and technical enhancements, including performance and ray-tracing modes. On both Next-Gen Witcher 3 hit a 94 score on Metacritic, and a must play distinction. We believe that thanks to this update, we have extended the game's lifespan by another generation.  Now let's move to Slide 6 to take a look at the long-term revenues from our key games. 2022 was another year when our back catalogue generated solid sales. Significantly revenues of Cyberpunk grew on a year-on-year basis. This is a good sign ahead of the release of Phantom Liberty, and its potential of supporting sales of Cyberpunk 2077 in the years ahead. Now, let me walk you through the effects of strengthening the RED team, presented on Slide 7. We are rescaling as a company. Now able to work on two AAA games simultaneously. We have turned to data through employee service to support our path for the next transformation steps. The initial results are encouraging, especially the involvement of employees, more than 85% of the team took part in the survey. This is way above the benchmarks. At the same time, we see further room to develop the company has an attractive workplace by giving not only voice, but also real empowerment to each team. What's more, we have stabilized our teams with a drop in turnover by 6 percentage points compared to 2021.  In order to further minimize turnover and compete for the best talents, we are transforming our payroll policy. This year's dynamics of salary increases will be maintained. On top of that, we have already integrated our company-wide bonus system into the base salaries. So the total base salary growth in 2023 will be even higher than in previous years. At the moment, our compensation system does not include long-term incentive plans. To be even more competitive, we are proposing an incentive program. It will be voted on at the next shareholders meeting, which will take place on April 18th. If you have any questions in this matter, do not hesitate to contact us. As for our current operations and development, let's move on to Slide 8. Our focus remains unchanged. We are at the final production phase of Phantom Liberty with 340 developers on that project. In parallel, we have grown the Polaris team to almost 200. Before I turn the floor over to Piotr, I would like to announce that in June, we'll be launching a marketing campaign for Phantom Liberty. So stay tuned. Now it's time for financials. Piotr, the floor is yours.
Piotr Nielubowicz : Thank you, Adam. Now let's dive into our 2022 results. First, our consolidated profit and loss account on Slide 11. In total our sales revenue in 2022 reach PLN 953 million. Most of that was delivered on sales of products of the product rate. Three major events helped us to achieve this result in chronological order. The release of the Cyberpunk Next Generation, the whole event of the Cyberpunk EDGERUNNERS update in anime launch. And last but not least, the introduction of The Witcher 3 complete edition on Next-Gen. In contrast to total group sales our cost of sales slightly decreased which is attributable mostly to the GOG segment. Moving on to operating costs, our selling expenses in the amount of PLN 222 million decreased by over one-forth. This was mainly driven by a decrease of Cyberpunk servicing costs from over PLN 80 millions in 2021 to nearly PLN 23 millions in 2022. The updates and improvements published over the past two years significantly enhanced gameplay performance and have been met with a positive response by gamers as shown by Adam. Our focus and team involvement now naturally shifted towards future releases, including Phantom Liberty. Still, overall, the selling costs were high as last year, we were actively promoting the three events I just mentioned.  Next slide, our administrative expenses increased by 5%. On the one hand, we spend less on the early phase research expenses as we progress our projects to more advanced phases and farther expenses or capitalized but on the other most costs are in general under rise. Including costs related to our historic incentive program, which only this year increased our administrative expenses by over PLN 5 million versus last year.  Speaking of the historic incentive program, as you may imagine, due to a strike price of PLN 390 million and the goal practically out of reach for now, the program although still costly for us entirely lost its motivation function. We aim to replace it with a new one supporting our team retention, recruitment, growth and in consequence efficient and timely developments. Since the last general meeting, we collected feedback from the market and incorporated substantial changes into the new resolutions. We would like to invite you to support the company under the voting at the next general meeting on the 18th of April. Moving further to other operating income and expenses, I'm aware that, it's not great to hear from a company that the project is being re-evaluated. But at the same time, in order to stay innovative, we must experiment and be brave when trying new paths. And to stay in control and keep the right course, especially with a project that is new to us in terms of design developed by a new studio in our family, we need to keep evaluating the situation as we move along.  It's better to cut costs early and even restart if needed, than to carry on. As a result of this approach, we experienced negative results on our other operating activity, due to the impairment related to Project Sirius, which we reported 10 days ago. Moving on to the EBIT line. Our operating profit reached PLN 377 million, which is 62% above the result of last year. EBIT was supported by positive results on our financial activity. Although the PLN 16 million positive financial activities performance included PLN 27 million of revaluation of Spokko company shares, upon this year's decision to sunset the Witcher: Monster Slayer project. All in all, our net profit for 2022 reached PLN347 million, which is a nice two-thirds more than a year ago. Most of the result was delivered by Projekt RED segment. However, unlike last year, GOG also delivered over PLN 5 million of net profit for the group. What is also worth mentioning is that the net profitability of the group four this year exceeded 36% and for CD Projekt RED alone, it was even close to 44%. Let's now move on to the next Slide, number 12. Our consolidated balance sheet. Over 2022, our balance of expenditures and development projects increased by PLN 123 million. This figure represents the balance of new expenditures and development projects for the period, PLN 262 million, less the amount we've recognized as costs for the period in the amount of PLN 139 million. The latter includes impairment related to Project Sirius and one-time amortization of our expenditures related to Cyberpunk: EDGERUNNERS. As usual, I'll come back to expenditures on our new developments in a moment. Our property, plant and equipment position increased by PLN 25 million, mainly due to our investments on the Warsaw campus and acquisition of office equipment. At the same time, looking at current assets, our trade receivables increased by PLN 40 million, which I see as a consequence of higher Q4 sales than this year versus the comparative period.  At the same time, the other receivables line item decreased by PLN 55 million. This was mainly driven by limiting our tax related receivables, and also decrease of advances and development works due to completion and delivery of the Cyberpunk: EDGERUNNERS project. And last but not least, the total value of cash deposits and treasury bonds included in the three items marked when asterisk is summed up under the table and totals PLN 1.91 billion as of the end of 2022. I will walk you through our main cash flow drivers in a moment. Let's move on to the second part of the balance sheet, Slide 13. As of the end of 2022, our group's equity had a value of over PLN 2 billion and grew by nearly PLN 140 million driven by our profit for the period. But what is also reflected here is that during 2022, we shared over PLN 200 million with shareholder’s half, half by way of share buyback and dividend payout. Another noticeable change among the liability section involved the liabilities themselves, which decreased by PLN 22 million. This was mainly driven by other financial liabilities and reclassification of part of the liabilities to the other financial assets position, resulting from positive valuation of instruments hedging foreign exchange risk, as well as from the realization of part of our liability for the payment of the purchase price of shows in the Molasses Flood. Parallel to that we increased our trade liabilities and decreased our income tax liabilities.  As regards provisions, this line item grew by PLN 10 million, mainly in relation to provisions for team bonuses set based on 2022 results. Having mentioned the team bonuses, I would like to add to what Adam said just now. Starting from the beginning of 2023, we've changed the general remuneration policy to the program, CD Projekt now offers a predictable remuneration system based on an attractive salary. This salary has been just revised upward with an annual rise, inflation adjustment, and annual bonus all rolled up into one flat monthly remuneration package. We believe that the ability to offer base remuneration, which is both higher and more predictable, should strongly support our recruitment activity as we look to attract top talent in our industry. At the same time, when it comes to top management, the existing bonus system based on net profit is still in force as the top management should be directly involved in maximizing our sales and profits. Now, please move on to the next slide, number 14. CD Projekt RED's expenditures on research, development and service of released games are presented quarterly for 2021 and 2022 to illustrate the changes happening at the studio recently. The decreasing yellow parts represents our total cost of servicing our released games, mainly Cyberpunk EDGERUNNERS.  What is also clearly visible the scope of our development continues to grow and the team is progressively moving on to new projects in development, which are represented by the blue part? Main projects including the blue part in Q4 were Cyberpunk Phantom Liberty, Polaris, Sirius and Witcher 3 Next-Gen addition.  And now our simplified cash flow on Slide 15. Cash wise the PLN 347 million in net book profit for the period was supported by PLN 170 million in depreciation and amortization for the period. We use these positive cash flow drivers to finance PLN 207 million expenditure on development projects to the Projekt RED. GOG also invested in its business by contracting licenses for new games for the store, which drove the increase of prepayments and deferred costs presented by the next bar. In cash terms, the group also invested PLN 48 million into both intangible and tangible assets, mainly investments on our campus software and equipment for our business. In 2022, we also shared over PLN 200 million with our shareholders over 100 as a dividend payout and close to 200 as the share buyback program.  Altogether, our financial reserves kept in cash bank deposits and T-bonds decreased over the last year by PLN 63 million, which means that putting aside the transfers to shareholders, we were able to sell finance from our 2022 positive cash flows. All our outflows including investment into development, and on top, generate PLN 138 million surplus. That's all from me for now. Thank you for your attention. We can now proceed with the Q&A session
Operator: [Operator Instructions] Today's first question is coming from Omar Sheikh. I think Mr. Omar Sheikh is disconnected. Alexey Philippov of JP Morgan. Please go ahead, sir.
Alexey Philippov: Thanks for the presentation. Can you please talk a little bit about the migration to the new engine? What's the progress there? Do you see or expect to see the following productivity of your developers until they learn how to use the new engine? That's my first question.
Adam Kicinski: Adam Kicinski, I'll take the first one. We are preparing things on the pipeline sites and toolset sites. Some developers are still learning the technology. And at the same time, there are teams working together with happy on all those aspects that are needed for our open world, so driven RPGs. And definitely, for the first project, I mean, Polaris, it will maybe not slow down, but it won't accelerate the processes.  But for the next projects, we assume that it should smooth and the production. That was one of the reasons behind saying the strategy that we want to release three big Witcher games within six years starting from the release of Polaris, which is feature 4. So yes.
Alexey Philippov: Great. That’s very helpful, thank you very much. Another question is on your development costs, what is basically the effective inflation in your development costs? I mean, due to this nice wage indexation that you're doing, how much more does cost for you one year or develop from now compared to last year?
Piotr Nielubowicz: Piotr Nielubowicz, I will take this question. So, comparing each year's development versus another year is not really giving any substantial update on development inflation, as each year is different. Some years like a year of completing a big project like it was in case of 2020 are heavy with some external expenses like external testing or localization and some others are more focused on our internal works. So, we never compare it this way.  In general, what I can say and I'm what I just mentioned in the presentation, the salaries are rising or rising along the inflation but also due to the fact of changing the remuneration system and the company. Each our game we historically created was more expensive than the previous one, and I do not expect this trend to change the dramatically. So, games are becoming more complex, bigger, and getting more expensive. But we were not guiding on future development budgets. Therefore, I wouldn't like to give any precise details on what overall game development cost in the future will be bigger versus what we had previously.
Alexey Philippov: That's clear. Maybe a quick one on incentive program to be voted in April. So if you secure the required shareholder vote, not for all your suggestions, we will accept the agenda only partially all you would need to do another round of voting for the whole agenda in this scenario?
Adam Kicinski: This time, we disconnected those two parts of the program A and B. So there is, of course, a scenario in which one of them will be positively voted. But of course, from our perspective, we believe that, these programs is very helpful in delivering strategies. So we hope that both parts will be positively voted, but they are disconnected.
Alexey Philippov: Yes, very clear. Thank you very much.
Operator: We'll now go to Mr. Omar Sheikh of Morgan Stanley. Please go ahead, sir. Your line is open.
Omar Sheikh: Okay, yes. Thanks very much. Just three please for me, if I could. So first of all, thanks very much for giving us the actual sales numbers for Cyberpunk on Slide 6. It's very helpful. Could you maybe just talk about what the impact you saw in Cyberpunk sales from EDGERUNNERS releasing in September. What impact effect did that have in Q4 and maybe some commentary on how it's going in Q1? That would be helpful.  Secondly, on Phantom Liberty, could you give us a sense of the scope of the marketing that you are planning? Is it going to be a short campaign, long campaign? How would it compare in terms of size and spent to what you spent on the main game and previous DLCs?  And then finally just on Projekt Sirius. You made a couple of comments just now about it. Just I guess the question here is, what happened? What does it imply about your kind of future, the work you might do with the next slide? What sort of implications should we think about for the long-term kind of development programs within that studio? Thank you.
Adam Kicinski: So, I'll take the first question. Yes. So the issue back of Anime and the whole concept of linking it with the update that was released just before Anime was really visible on our sales. We are not publishing precise, daily, weekly, or monthly sales. However, it was for us the beginning of the Q4. Q4 that was super intense and that's we perceive as -- actually, the second best Q4 in our history. Only the Q4, when we released the Cyberpunk, itself was better than this fourth quarter.  What's also interesting, the effect we saw after launching the Anime was visible for many weeks after the release of the Anime also when all of the promotions ended and we returned to the standard sales. The volumes we saw were better than before.  The second part of the question was about Q1. So Q1 this year, unlike last year, was not having any, in Q1, we didn't have any extraordinary events or new releases. Like last year, we had the Cyberpunk Next-Gen release. Therefore, I would say this Q1 will be more of a normal quarter with no special situations. And still the most important event of this year, which is the Phantom Liberty launch is still ahead of us.
Michal Nowakowski: The second question was, I believe about the scope of marketing? Where we are with planning campaign, I mean, at least that's we understood, feel free to correct me. Okay, I'm assuming that's correct.
Omar Sheikh: Yes. That's fine.
Michal Nowakowski: So, when it comes to scope marketing, I mean, as Piotr already mentioned Phantom Liberty launch is the biggest events for us this year. So it's going to be significant but obviously, significant to the scale, do not expect a campaign that's going to be comparable to the launch of a completely new AAA game, obviously. But it is a very important event for us. And I can say we are and have been for a while, as a matter of fact, I mean, planning a campaign is not something you do over a weekend or two.  So, we've been talking about it for a while now. And I believe we we've mentioned just today that we're going to start talking more about Phantom Liberty in June this year. So, expect more news coming around that timeframe. But for now, we have to be a little bit more patient. Thank you.
Adam Kicinski: Adam Kicinski here. We'll be announcing more details regarding our plant activities fairly soon. So we'll add some color about what is planned for June. And regarding Sirius, as we expected questions, please let me sum up everything we want to say at this point about it. Sirius is the codename for a project carried out by the Molasses Flood, Boston base to do with joint this is a project group in 2021. So, this is a project which is I would say insourced. It's also new to us in terms of design and format. For those reasons, it's very different from the big productions we are known for. To stay competitive, we have to keep looking for new ways to extend our franchises. At the same time, we need to be ready to reevaluate our original concepts. Even if the if development work is already underway. On the 20th of March, we announced that we want to create a new framework for Sirius. We also decided to establish an empowerment allowance on Sirius development expenditures. It was a tough decision to make. But we also believe it was the right one. Our intention was to cut costs early and give ourselves time for reassessment. We don't want to carry on with projects that we are not aligned with. So that is kind of obvious. So basically, that's all we would like to share about project Sirius as for now. Thank you.
Omar Sheikh: Okay, very clear. Thank you very much.
Operator: [Operator Instructions] We have Matthew Walker of Credit Suisse. Please go ahead. Your line is open.
Matthew Walker: Thanks all. Good evening. The first thing is just on the salary stuff, is that a good idea to expand the fixed base costs, just in case the game doesn't come through, then you've basically created a bit more operating leverage? Second question is, is there going to be any substantial game release in the year '24, '25 or '26?  And then the final question is with the ramp in development costs, I know you're not giving a specific number on the cash flow ramp on development costs, but can you say whether at any point, given the ramp in development costs and the number of games are doing that the company will move from net cash the net debt? Or will the current cash envelope include or deal with the ramping development costs? Thank you.
Adam Kicinski: So, the first question was about salaries. In general, we believe that to attract the best people we need to offer competitive compensation packages. In general, in 2022, the rise in remuneration will be even higher than what we observed in previous years. But we decided to do this for two reasons.  First, we always adjust remuneration on a yearly basis take into account among other free things, the current inflation, which in this year is particularly high. And secondly, as mentioned, during our presentation. In January, we remodeled the whole compensation package, in order to be able to present to our employee’s clear salary package that they can estimate how much they will earn based on that, and not speculate what will be the annual profit of the company divided by over 1000 employees per person, and what their final eventual annual bonus will be.  We decided for more direct communication on that, which can be done all in case of offering flat salaries. And especially right now, we believe that was a perfect moment to adopt this change.
Operator: Mr. Walker ask your question, sir. 
Matthew Walker: You answer the first one, yes, thank you.
Michal Nowakowski: Yeah. And I, it's Michal Nowakowski. I'll take the second one about the substantial game releases. So first of all, we don't really and we haven't guidance on which of the titles comes out when, and we want on this call as well. What I can say is, we're totally committed right now from the publishing revenue perspective and fully focused on delivering the Phantom Liberty this calendar year and again, in June, we are going to reveal, we are going to start talking more about that, and you learn more. And the belief behind that is, this is going to help to increase the sales of Cyberpunk: 2077 in the long run and establish that franchise even more and make it a long seller. We have done it in the past, which are free and this is the effect we are looking for with Cyberpunk this is what we are focused. This is what we are talking about. And there is a lot of other things we are focused on right now. Like preparing for the Boston Hub and the Polaris is in the full development. But we honestly cannot and do not want to guide on specific releases in specific years '24 or '25 or '26. We will talk about those things when we are ready. Thank you.
Piotr Nielubowicz: And I'll take the third one. The third question was about financing development costs, as far as I remember and whether we are considering to move to net cash -- negative net cash position. So as you know, as of the end of '22, our financial reserves, meaning cash, money deposits and T-bonds amounted to almost PLN1.1 billion. On top of that, our flagship titles, Cyberpunk and Witcher 3, generate solid revenues.  Next-Gen additions of both games and with Next-Gen additions of both games and with Phantom Liberty expansion coming out this year, we believe the stream of revenues will be strong in the coming years. And at the same time, in recent years, we were self-financed and we would like to continue with this approach also moving forward.
Matthew Walker: Thank you.
Operator: [Operator Instructions]. We will now go to Mr. Tomasz Rodak of BOS Brokerage. Please go ahead.
Tomasz Rodak: Yes. Hi. Good afternoon. I just want to make sure I understand the new remuneration system correctly. I understand that, you -- now the salary will include the bonus and it means that the bonus is currently not related to the results. So, you basically are increasing the flat salary, but getting the rate of the bonus at all for developers?  And second question on motivation program and on the target, financial target. Could you just elaborate more on how do you construct the financial targets? Does it somehow account for your publishing pipeline? And finally, does this a new target that you revealed, it's PLN2 billion in '23, '26. Does it include the profits from the new Polaris project, which would make it, let's say, not so ambitious or maybe it doesn't include the new Polaris project, which makes it very ambitious, in my opinion, at least. Thank you.
Piotr Nielubowicz: Okay, so I’ll take the first two questions probably. So yes, you're right. We have recalculated average bonuses into flat monthly salary increases. Based on that we increased proportionally, the monthly salaries. Also take into consideration inflation and other annual rises, which means that for the whole team starting from this year, there will be no annual bonus, the 2022 is the last year on which we will pay annual bonuses, but starting from the 1st of January, the net profit of the company will not constitute the bonus obligation for the company, towards employees. But at the same time, as I mentioned, the top management will still have part of the remuneration based on the financial effectiveness of the company. Regarding the motivation program targets, I wouldn't like to go into details and especially as you know, we are not guiding on the release dates, I wouldn't like to go into details of whether this or that product is included. That's a goal that we believe is ambitious. And we are aiming to, we will need to work hard in order to generate such net profit within the next four years.
Operator: As we have no further audio questions, we turn the call the back over to the web register -- webcast questions. Thank you very much.
Adam Kicinski: So I'll read the first questions we see. How many developers did you have at the end of February and how many at the end of 2022? How many would you like to have at the end of 2023? Do you have those numbers precisely?
Michal Nowakowski: So I'm trying to find the group results because what I have in front of me is just so the Projekt S.A. so the modern company. And I think let me -- do we have it? So we have right now at the end of February almost 700 developers and at the end of the year for the whole group we had, I'm consulting my team, slightly lower number of developers. So that's what we can tell you on the fly. If we find more precise data, we will come back to this question.
Adam Kicinski: So I'll take the second one. What do you see on American employee market right now? With all the layoffs in the U.S. stack, it seems it should be easier to find new people. Have you noticed any changes in the last three months? I think you know something obviously. 
Michal Nowakowski: I mean, I know and I don't. I mean, we obviously monitor the situation, and we're not we are fully aware of what's happening in the on the American market. But there's a couple of things. First of all, we with our hiring and setting up the Boston have, we are not in the phase where we will be netting large numbers of people yet and this would be like really the practical examination of that thesis.  Second thing, which is important to remember is that very often, let's put it like this. The programmer from a tech company is not necessarily a good fit for a video games company. I mean, he or she, they can be but they not necessarily are. I mean, it's a question of passion, certain inclination, certain experiences as well. So I would answer like this. Thank you.
Adam Kicinski: The next question, will you be attending E3 this year? Do you want to show Phantom Liberty there? 
Michal Nowakowski: As we mentioned already, we'll be kicking off marketing campaign for Phantom Liberty in June. But as for now, we are not sharing any details, but soon, we will reveal our plans. So stay tuned.
Adam Kicinski: And I can take the next one. Can you comment on the development process of Polaris and Canis Majoris projects? Do you see a write-down risk? 
Michal Nowakowski: No, I don't see any write-down risk. Of course, this is what I see now. But bear in mind that our flagship projects like Polaris or Orion, the situation with them is kind of different. Both of them are our flagship internal production and the very core of everything, what we do. So it's hard to imagine that we would decide to not carry on with these developments.
Adam Kicinski: There are a couple of questions about Sirius, but as I said in my kind of statement, that was all we like to share. So we won't go through all those questions.  There's a question about dividend. What is your view on this year's dividend? Are you planning to recommend a rate of around PLN 1 per share?
Piotr Nielubowicz: No decisions, no discussions we're done yet. So of course now we have results and we'll have this discussion at once we conclude it. If there is any proposition will of course share it with you.
Adam Kicinski: And I think that said, so, Piotr is going to answer one of the questions. Piotr, you can you can take it.
Piotr Nielubowicz: Yes.
Adam Kicinski: So Piotr is preparing the answer. I can read the question. Cost of products and services sold off to the Projekt RED in Q4 2022 amounted to PLN 27.2 million, while in Q1, Q2 it was just about PLN 18.5 million. Where does the difference come from? Is it additional amortization of Witcher 3: Next Gen? If yes, then for how long will it be recognized?
Piotr Nielubowicz: So this is both additional amortization related to Witcher 3: Next-Gen. But also there is additional amortization related to Cyberpunk: Next-Gen. So at least as far as I remember, at least the two products contributed to increasing amortization after the Q1 of last year. And there was also a question about how long we plan to amortize it, as far as I remember for Witcher 3 plan is to amortize it over the next three years.
Adam Kicinski: There is one more question. How many developers are expected work on the next Witcher game by the end of this year? Could it be more than half of your dev workforce?
Michal Nowakowski: We will see. We will see. It's possible. It's possible, but it's a transfer year. So we will see, but it could be more than half. Imagine but maybe end of this year or beginning of the next year.
Adam Kicinski: As we have no more questions, I would like to thank you again for joining us today. If you have any follow-up questions, do not hesitate to contact our IR team directly by mail. Have a nice evening. Good bye, good night.